Operator: Good afternoon, ladies and gentlemen, and welcome to the C. H. Robinson First Quarter 2025 Conference Call. At this time, all participants are in a listen-only mode. Following the company's prepared remarks, we will open the line for a live question-and-answer session. [Operator Instructions]. As a reminder, this conference is being recorded Wednesday, April 30, 2025. I would now like to turn the conference over to Chuck Ives, Senior Director of Investor Relations. Please go ahead.
Chuck Ives : Thank you, Donna, and good afternoon, everyone. On the call with me today is Dave Bozeman, our President and Chief Executive Officer; Michael Castagnetto, our President of North American Surface Transportation; Arun Rajan, our Chief Strategy and Innovation Officer; and Damon Lee, our Chief Financial Officer. I'd like to remind you that our remarks today may contain forward-looking statements. Slide 2 in today's presentation lists factors that could cause our actual results to differ from management's expectations. Our earnings presentation slides are supplemental to our earnings release and can be found in the Investors section of our website at investor.chrobinson.com. Our prepared comments are not intended to follow the slides. If we do refer to specific information on the slides, we'll let you know which slide we're referring to. Today's remarks also contain certain non-GAAP measures, and reconciliations of those measures to GAAP measures are included in the presentation. And with that, I'll turn the call over to Dave.
Dave Bozeman : Thank you, Chuck. Good afternoon, everyone, and thank you for joining us today. Our Q1 results reflect progress in the disciplined execution of the strategies that we shared at our Investor Day in December to take market share and expand our margins. We are not waiting for a market recovery to improve our financial results and the strategies that the Robinson team is executing are relevant in any market environment. In NAST, we outgrew the market in Q1 in both truckload and LTL, while expanding gross margins and improving productivity, both year-over-year and sequentially. In Global 40, we continue to win new business and optimize our expenses through further increases in productivity. Overall, we delivered a 39% year-over-year increase in our enterprise's Q1 income from operations. And regardless of the market environment, we will continue to lean into the self-help initiatives that enabled our Q1 market share growth and margin expansion. This includes continuing to arm our industry leading talent with innovative tools that help us materially elevate the customer and carrier experience. We are innovating to harness the power of artificial intelligence and driving automation across the full lifecycle of a load, which gives our customers better service while also helping us improve our performance by automating tasks that free up our talented people to work on more strategic and higher value work. Our people have further embraced our new operating model and the discipline needed to generate higher highs and higher lows across market cycles. Despite a challenging freight market, they like the transformation happening at Robinson and the momentum that we have. The vast experience of our resilient employees and the value they bring to our customers and carriers are reflected in our Q1 results. More recently, the new tariffs and fluid trade policies have created market uncertainty and a lack of clarity, making planning activities more difficult and causing many customers to adopt a wait and see approach until they understand the impact on consumer spending and global demand. Some customers have paused or reduced their purchases from suppliers in China in order to reduce their tariff exposure, causing Ocean bookings out of China to decline in Q2. For years, we have been helping our customers diversify their supply chains to be able to source products from multiple countries. And for C.H. Robinson, while we're proud of our strength in the Trans-Pacific trade lane, we have also diversified the global lanes that we serve to make our business more resilient and less dependent on certain trade lanes. For example, prior to the pandemic, approximately 35% of our ocean and air volume in Global Forwarding was generated from the China to U.S. Trade line. In 2024, that percentage declined to less than 25% due to higher growth in trade lines serving Europe, Southeast Asia, Oceania, and India. While we are certainly not immune to global market dynamics, we remain confident in our strategy and our people. Nothing about the current environment changes that. The continued disciplined execution of our strategy, supported by the Robinson operating model, will make us stronger and we'll stay focused on providing differentiated service to our customers and carriers. Periods of volatility reinforce our value proposition. Customers need a partner who understands not only how to navigate increasing complexity, but also how to partner with them to solve their unique supply chain challenges, even amid uncertainty and change. We have the scale, breadth and differentiated experience to navigate through uncertainty, as well as the financial stability and operational agility to adapt to changing market dynamics and to help our customers do the same. So we'll continue to help our customers strategize on how to make their supply chains most efficient and cost effective. We're a top freight forwarder in multiple trade lanes around the world, and we handle well over 1 million customs transactions a year. So C.H. Robinson is well-versed in navigating tariff changes, and we have proprietary technology that aids us in doing so. We'll continue to use our unmatched expertise, unrivaled scale and tailored solutions to help our customers strategize on how to make their supply chains most efficient and cost effective in this environment. If that means the origin or destination of their freight changes, we can adapt to that change due to our global footprint. If supply chains increase their production in the U.S, we'll be ready, because we move more truckload freight than anyone in North America. We are a key partner in helping shippers rethink and shift supply chains, while also being able to help them execute those new strategies, helping us move further up the value stack. And while we've been preparing for a variety of market scenarios, we're also intensifying our strategic focus on market outgrowth, gross margin expansion and operating leverage improvement. I'll turn it over to Michael now to provide more details on our NAST results.
Michael Castagnetto: Thanks, Dave, and good afternoon, everyone. As Dave mentioned, the NAST team delivered market share growth in both truckload and LTL in Q1 and further optimized our volume, resulting in year-over-year expansion of our gross and operating profit margin. This outperformance was accomplished in the midst of a historically long freight recession. The Q1 Cass Freight Shipment Index was down 6.3% year-over-year and down 3.5% sequentially. Our overall NAST volume, on the other hand, declined by only 1% year-over-year and was up 2% sequentially, despite there being one less business day. Truckload volume was down 4.5% year-over-year and was up 3.5% sequentially. LTL volume grew 1% year-over-year and 1.5% sequentially. All of these KPIs outpaced the market indices. At the same time that market volumes have declined, load to truck ratios are higher than they were a year ago, and route guide depth in our Managed Solutions business has increased over the past year, reflecting a continued exit of capacity that has brought us closer to better balance in the market. The result of this has been a year-over-year increase in the truckload line haul cost per mile, excluding fuel surcharges. Supported by our operating model and armed with industry leading tools, our team of freight experts continues to respond to the challenging freight environment with pricing discipline and the cost of hire advantage, delivered by our procurement teams and the growing usage of our digital brokerage capabilities. All of this led to improvement in the AGP yield within both our transactional and our contractual truckload business and in our LTL business, resulting in a 140 basis point year-over-year improvement in our NAST gross margin. Our team continues to dynamically assess the best combination of volume and margin to improve our earnings. We know we have optionality to pivot towards more volume or more margin depending on the market conditions, and we are making adjustments multiple times per month, week and day while maintaining our discipline. Our execution has improved greatly over the past year. We're making better use of our proprietary digital capabilities and getting actionable data into the hands of our freight experts faster, enabling them to make better decisions and to capture the optimal freight for us. These digital capabilities, which Arun will expand on shortly, have also enabled us to increase our NAST shipments per person per day at a double-digit pace over the past two years, and this continued in Q1. Through higher productivity and lowering our cost to serve, our NAST operating margin of 34.3% in Q1 increased both year-over-year and sequentially. Regardless of market conditions, we remain focused on what we can control. Our people and their unmatched expertise enable us to deliver exceptional service and greater value to our customers and carriers. In line with a disciplined and focused approach to capture growth opportunities in targeted customer segments, we have invested in our sales organization and in capabilities such as drop trailer, cross border and Robinson Managed Solutions, and we will continue to deliver industry leading solutions to customers and carriers. Through their commitment to our customers and carriers and by embracing the C.H. Robinson operating model and innovative tools, our people are delivering improved results in a challenging marketplace. I'll turn it over to Arun now to provide an update on the innovation we're delivering to strengthen our customer and carrier experience and improve our gross margin and operating leverage.
Arun Rajan: Thanks, Michael, and good afternoon, everyone. In Q1, we continued to disrupt from within to transform our business to better serve our customers and to lead the industry forward. In line with the strategy that we laid-out at Investor Day in December, we are scaling our fleet of proprietary GenAI agents across the quote to cash lifecycle and to more modes and customers. As we recently announced, our AI agents have now performed more than 3 million shipping tasks, including over 1 million price quotes and more than 1 million orders processed. We've also quickly scaled the use of GenAI in our LTL business. And in Q1, our orders AI agent took care of as many LTL orders as it did truckload orders. All of these improvements are reducing the amount of time it takes us to respond to a quote or for a tendered load to be accepted, thereby providing a better and more uniform customer experience. Additionally, our proprietary AI is supporting our market share and margin expansion initiatives. First, the faster speed provided by our AI has enabled us to respond to more quotes and win more business, thereby augmenting our market share growth. Second, the continued advancement of our AI is powering our dynamic pricing and costing, and we're responding more surgically and faster than ever to dynamic market conditions by performing more frequent price discovery and enhancing the quality of pricing that we deliver. Along with our operating model rigor and our revenue management practices, this is contributing to the gross margin improvement that we're delivering. And third, the growing automation across our quote to cash lifecycle, whether it be in quoting, order entry, load tenders, appointment scheduling or other manual tasks, creates business model scalability. This enables us to decouple headcount growth from volume growth and to create greater operating leverage. Generative AI played a key role in our greater than 30% productivity increase from 2023 and 2024, and we expect to continue increasing our productivity in 2025 and beyond to create further operating leverage. Despite numerous AI announcements by others in the market, customers are not satisfied with subscale technology. They are looking for innovations that can be implemented on a large scale to achieve measurable benefits. The advancements that we are bringing to our customer supply chains, such as automation powered by GenAI, have significant impact due to our scale and our information advantage, which comes from moving more truckload freight than anyone in North America and doing more LTL shipments than any other 3PL. But as I've noted before, a digital only approach has proven to be ineffective in the logistics industry due to the level of complexity and variation in freight characteristics that necessitate human expertise. The active role that our people play from a human in the loop perspective cannot be understated, and we are leveraging their deep domain expertise to provide feedback and to improve our algorithms on a regular basis. Ultimately, we are innovating and disrupting from within to deliver on three items that are key to our strategy: transforming the customer and carrier experience to elevate our offering and drive growth delivering business model scalability and driving gross margin and operating margin expansion. With that, I'll turn the call over to Damon for a review of our first quarter results.
Damon Lee : Thanks, Arun, and good afternoon, everyone. As you heard today, we made further progress in Q1 on the strategic initiatives aimed at our North Star of improving operating income. This was driven by market share growth, continued optimization of our AGP, and a reduction in cost through our operational discipline and productivity initiatives, which increased our operating leverage. Despite declines in market volume, our market share gains, revenue management and disciplined procurement of capacity improved the quality of our volume and our AGP, which was up $15.4 million year-over-year, driven by a 5.3% increase in NAST and a 2.5% increase in Global Forwarding. On a monthly basis, compared to Q1 of last year, our total company AGP per business day was up 14% in January, up 1% in February and down 2% in March. It's worth noting that this trend was attributable to more challenging comps as the quarter progressed and the absolute amount of AGP per business day increased sequentially in both February and March. From an expense standpoint, our total operating expenses declined $34 million or 6.5% year-over-year. Q1 personnel expenses were $348 million, including $1.2 million of expenses related to the divestiture of our European Surface Transportation business. Excluding these charges, our Q1 personnel expenses were $347.4 million down $23.8 million due to our continued productivity and cost optimization efforts. Our average headcount in Q1 was down 11% compared to Q1 of last year. We continue to expect our 2025 personnel expenses to be $1.375 billion to $1.475 billion. This includes an assumption that our headcount will be relatively flat with our Q1 ending headcount. Although we have a dynamic workforce planning process that can adjust to changing market conditions, and we remain committed to further decoupling headcount from volume. With low to mid-teen turnover rates, we can use attrition substantially to manage headcount if needed. Our Q1 SG&A expenses were $147.7 million and included $7.4 million of charges primarily related to a lease impairment charge as part of subletting a portion of our Kansas City regional center. Excluding these charges, SG&A expenses of $140.3 million were down $6.3 million year-over-year. We still expect our 2025 SG&A expenses to be $575 million to $625 million including depreciation and amortization of $95 million to $105 million. Although most of our SG&A expenses are subject to inflation, we expect continued cost improvements to partially offset the inflationary impact. Shifting back to Q1, our effective tax rate for the quarter was 13.7%. Our tax rate is typically lower in the first quarter of the year due to the incremental tax benefits from stock-based compensation deliveries that occur in Q1. We still expect our 2025 full year effective tax rate to be in the range of 18% to 20%. We generated $106.5 million in cash from operations in Q1 and our capital expenditures were $16.1 million. We now expect our full year capital expenditures to be $65 million to $75 million compared to our previous guidance of $75 million to $85 million. From a balance sheet perspective, we ended Q1 with approximately $1.16 billion of liquidity, comprised of $1.030 billion of committed funding under our credit facilities and a cash balance of $130 million. Our net debt to EBITDA leverage at the end of Q1 was 1.54x, down from 1.61x at the end of Q4. Our financial strength continues to be a key differentiator in our industry as it enables us to continue investing in the bottom of the freight cycle and improving our capabilities. While our capital allocation strategy remains grounded in maintaining an investment-grade credit rating, our financial strength and improved leverage ratio enabled us to return $175 million of cash to shareholders in Q1 through $97.5 million of share repurchases and $77.5 million of dividends. Overall, our Q1 financial results are another proof point of the transformation occurring at C.H. Robinson with the disciplined execution that the new Robinson operating model demands and with our strategies to drive outperformance in any market environment, I am optimistic about our runway for further improvement. With that, I will turn the call back to Dave for his final comments.
Dave Bozeman : Thanks, Damon. As you have gathered from our comments today, we are laser focused on our self-help initiatives to increase our market share and to expand our margins, while elevating our level of service to our customers and carriers to raise the bar in the logistics industry. Given the current market environment, I'm grateful for the actions we've taken over the past two years to stand up a new operating model and to get fit, fast and focused. Our cost structure is in a much better position with greater than 30% productivity delivered over that timeframe, and we're making further process improvements in 2025. We're moving with much greater speed, both in how we're innovating and responding to customers and carriers, but also in how we're identifying root causes and implementing countermeasures as lean tools are delivered and taught to more of our people. And we've driven greater focus of the organization through industrial pruning through initiatives such as deprecating our small parcel services and the sale of our Europe surface transportation business. And as we lead our industry in AI tech innovation, we are seeing the benefits and are excited about the future. Our advanced AI and machine learning technology is improving our gross margins, while allowing us to better align our capacity and pricing to the specific needs of our customers and to specific market conditions. These superior dynamic costing and pricing capabilities will be even more important when we eventually see a turn in overall freight demand. Our technology is lifting mundane, repetitive tasks off our people's plates, contributing to a greater than 30% increase in productivity and efficiency over two years. Our proprietary generative AI tech, which is breaking new ground in the industry, is making an especially big impact because it's able to perform tasks that defied automation for decades. That frees our people to do more strategic work and enables us to reach more customers, garner more wallet share through our full range of services and move up the value stack by leveraging our growing capabilities. And finally, we're making it easy to do business with C.H. Robinson. We have a people plus tech approach. Customers can choose the experience they want with us, whether that's taking advantage of our digital platforms or interacting directly with one of our team members. Fundamentally, this is still a people business, and our customers say the number one reason they work with us is our people. I want to thank our people for their relentless efforts to provide exceptional service to our customers and carriers, for embracing the Robinson operating model and continuing to execute with discipline and for continuing to support each other as we navigate a changing marketplace. I'm confident in the team's ability to drive a higher and more consistent level of operational execution and to keep pushing the bar higher on our financial performance across market cycles. We've built a resilient organization with a multi-horizon strategy that looks around corners and is underpinned by an operating model that provides stability by mandating execution of the strategy. I believe the strategies, disciplines and practices that we have implemented at Robinson can endure through a prolonged freight recession, through a market inflection and through any part of the freight cycle. That concludes our prepared remarks. I'll turn it back to Donna now for the Q&A portion of the call.
Operator: [Operator Instructions] First question comes from Jon Chappell with Evercore ISI.
Alex Johnson: Good afternoon. It's Alex Johnson on for Jon Chappell. Maybe a sort of maintenance type of question first, if I can. Some of the trucking companies and other trucking related companies commented on weather impact in the month of March in particular. I don't think I heard you comment on weather. I know volatility in weather and trucking market can have an impact. Just wondering if you saw any of that, how you would sort of frame that?
Dave Bozeman : Yeah. Hey, Alex, this is Dave. Good to hear from you. Yeah, we see all types of impact obviously with weather. That's something we see, but the key is how we're really driving towards how we're really driving towards the impact of that weather and we've kind of moved to inputs versus outputs. So that's the key for us. So allowing us to really hit that right upfront versus kind of waiting for that impact and then and seeing that. That's kind of the key to our operating model. It's really that speed and immediate visibility. But I'll ask Michael to share a few more details on specifically, but we're seeing our operating model manifest in how we handle things like weather. But Michael?
Michael Castagnetto: Yeah, Alex, thanks for the question. I think what we saw in Q1 was certainly weather impact in January, weather impact in March to the marketplace. And certainly as carriers exit, we're seeing that events like weather impacts or other short-term events do have an outsized impact on short-term pricing or short-term impacts to the marketplace. But I think what we showed in Q1 and we see it in our results is the improvement in our operating model and our tools has allowed us to react to those incidents much more aggressively and I'd say proactively as opposed to reactively. And so, while certainly January over January, as an example, you had some pretty big storm impacts last year, and we still had a pretty difficult January from a storm impact in this year, but our results were different. And it's really how are we getting these tools into our people's hands, how do we get ahead of these events, And then really that combination of how our commercial and capacity folks are working together with our customers and carriers to build solutions. So did the events happen? Yes. Do I think the team did an incredible job of managing through them? And I think that showed through our numbers in the quarter, yes, also.
Dave Bozeman : Yes. And I'd just say I was happy to see that it was somewhat of a non-event. I'm happy that our people are building their muscle up around dealing with this, Alex. So thanks for the question.
Alex Johnson: Thank you very much. I'll get back in queue for some more outlook type of questions. Thank you.
Operator: Next question, Chris Wetherbee with Wells Fargo. Please go ahead. Chris, your line is live. Okay, on to Jeff Kauffman with Vertical Research Partners.
Jeff Kauffman: Thank you very much. Well, first of all, congratulations. It's a terrific result in a tough environment. I'd like to hone in a little bit, maybe it's the tail wagging the dog here, but I want to hone in a little bit on the international markets and global forwarding. You're one of the top NVOCCs, out of China, Southeast Asia to the U.S. There's a talk about customers shifting from air to ocean and there's a talk about what happens if these tariffs go or if they don't and who knows what the answer is. But can you kind of talk through some of the scenario planning that you've done or the scenario you see and how that could potentially affect the forwarding division, particularly the ocean from Southeast Asia to the U.S?
Arun Rajan : Yeah. Thanks for the question, Jeff. I think you kind of summarized it well, right? There's a lot going on in the international space right now. I would say that there's changes almost every week and some weeks there's multiple changes. That certainly created a lack of clarity for our customers. And so certainly that's where Robinson's value proposition shows up best, right? When there's chaos and there's lack of clarity, our advanced capabilities, our breadth of services really allows our customers to do scenario planning and what if planning at a different scale and a different level. Now as we've talked about on other calls, right, there's been a trend for many years now, really post-COVID of near shoring and friend shoring and just overall migration away from dedication to China and just having a more diverse supply chain to more of Southeast Asia, to India, to other trade lanes. We're certainly seeing that be a benefit to our customers. And certainly China is still an impact to their business flow, but certainly the diversification of their efforts over the last several years post COVID has lessened that impact on their supply chain. One thing just to note for Robinson is, certainly, we're not immune to density of trade lanes either. And we've worked hard over the last several years to lessen our dependence on the Trans-Pacific trade lane as well. That used to be 35% of our Global Forwarding business. It's now 25% post-pandemic. So we've even seen the benefits of that diversification away from specific trade lanes and density of trade lanes over that time as well. So what I would say is, what I led with is certainly times like this is when Robinson really shows up as a value added partner to our customers. We've seen that historically, and we've certainly seen that as tariffs. We look at tariffs as just another disruption for our customers, another market disruption. But we've had several disruption over the years, right? You've had disruptions in the South China Sea. You've had the port strikes. Those disruptions all show up slightly differently, but they're all disruptions to the supply chain. And certainly, our customers have been diversifying to limit those disruptions on the impact of their business, and they've certainly partnered with us on creative solutions to lessen that impact as well. So what I would say is certainly we've seen a lot of activity with customers partner with us on various ways of diversification, and I think that's bode well for our ability to move up the value stack with a lot of our key customers.
Jeff Kauffman: Just to clarify your comments and thank you for that answer. For the purposes of our modeling, I guess my takeaway on what you're saying is we've downshifted Trans-Pacific a little bit and it's possible that Southeast Asia to rest of world could offset some of the decline from Southeast Asia to U.S., but would tariffs result in higher customs revenue as a result? And we should think about maybe customs get some support here and then make your own assumptions on Arun, on ocean?
Arun Rajan: Yes. So certainly on your first comment, we agreed that's an accurate understanding of my comment. On the customs activity, certainly, we've seen an uptick in customs activity, and certainly, we're an expert in that area and in that field. And so certainly, that has been an area of increased interest with our customers and certainly we're able to provide that service and value for them.
Operator: Next question, Brian Ossenbeck with JPMorgan.
Brian Ossenbeck: Hey, good afternoon. Thanks for taking the question. Maybe just wanted to I'll give you both at once. Just can you give us any sense of what April looks like so far? I know you typically don't do that, but we're obviously not in a really typical sort of market. So anything there would be helpful. And then maybe for Michael, do you think we're finally starting to get to the point where truckload capacity starts to exit and stays out or at least starts to accelerate in that trend. Are you seeing any signs of that? And it does seem like perhaps we've got some more volatility with tariffs and the import cliff, if it does arrive, that could potentially accelerate that. But of course, lower fuel prices are throwing a lifeline out there as well. So just wanted to see thoughts on April and then if you have got any color on capacity and where that's headed.
Dave Bozeman : Hey, Brian, thanks for the question. Hey, listen, you're right. We don't typically provide guidance on kind of volume, AGP or earnings into April here. But historically, Q2 is seasonally stronger quarter. It's like usually plus 5% sequentially due to higher freight demand in certain verticals as we're coming into food and beverage, produce, home and garden and as the weather improves. There are several factors that will impact whether we see normal seasonality in Q2, including whether consumer confidence and spending are strong enough to support those key verticals that I just talked about. The first month of the quarter, as we look at it, is really a good predictor of the quarter. So that's what we typically don't comment on it. However, we might be able to give a little bit of color and I will ask Michael to weigh in here a bit of it, but that's how we typically kind of view this.
Michael Castagnetto: Yeah. So Dave is correct. Second quarter usually is sequentially better than Q1 to the numbers that Dave mentioned. But it's a unique quarter in that April is sequentially lower than March and then it kind of increases through May into June as we get some seasonal impacts and just based on our customer mix. What we've seen is, yes, we've seen that sequential decrease from March into April, but it's less than it was last year. And so we continue to think that the work we're doing is allowing us to meet customers where they need to be met. And as Damon mentioned on his answer previously, I think it's a statement for NAST as well. The volatility that we're seeing in the marketplace is creating an opportunity for customers to lean into Robinson and the value we bring to the complexity of supply chains that people are dealing with right now. I think there is a move to quality in terms of what we're bringing to the marketplace, our stability, our people, our capabilities, those type of things. And so we feel good that the work we're doing in Q1, we expect it to be positive with the work we're doing in Q2. Your second question related to carrier capacity, yes, we're continuing to see capacity exit the marketplace. No, we're not seeing necessarily market inflections in any meaningful and sustainable way from a costing perspective. I mentioned earlier, you see it during events, you see it during short term impacts, where those events are having pretty significant spikes due to the fact that I think there's a little bit less surplus in the marketplace than there maybe has been in the past. And so the hope would be is as demand comes back, that we'd see more of an inflection versus an event, but we haven't seen that. I do think your comment -- though about what does some of the uncertainty due to overall demand and how would that impact capacity exits? Your comments are probably an accurate reflection of what a carrier is looking at, right? Pricing is not improving in a meaningful way. Some costs are improving from their perspective. But at this point, there's been nothing that would say we're seeing a true inflection in the market and that we're continuing to somewhat bounce along the bottom we've been on for a while.
Operator: Ken Hoexter with Bank of America.
Ken Hoexter: Hey, good afternoon. Dave, I guess earlier you talked about the AGP deceleration rate, so from 14% in January down to minus 2% in March. Can we talk about that? I know you said it was just tougher comps. Is there is that tariff implications your thoughts on as pricing stays weak here the opportunity to ramp that up? And I guess you lowered CapEx. I guess is that just looking at again same thing the market deceleration? Is there something more to that? Maybe just your thoughts on the backdrop here?
Damon Lee: Yeah. Ken, I'll take that one. This one is Damon. Certainly, I wouldn't read into anything on the month to month sequentials that we went through in the prepared statements. I think you had as we referenced in the statements, right, I think you certainly had tougher comps as the months went on, but we don't believe that signals anything of significance, right? So I think that's more just noise in some of the monthly comps. So, yeah, nothing there that I would focus on.
Dave Bozeman : On CapEx, yeah. Yeah, sorry. So on CapEx, look, I think it's just more as we're looking at the outlook, we felt that was a more appropriate range just based on the initiatives of the year and where we see the year shaping up. What I will tell you is, all of the initiatives that support our strategic initiatives are fully funded and they're certainly not part of tightening that range. I would say, as part of tightening that range was really items we view as discretionary that have some fungibility and timing and those we've reprioritized. But just to reiterate again, none of the CapEx needed to support our strategic initiatives have been impacted by that range change.
Ken Hoexter: I guess, if I could -- just David, if I could just follow-up on the first part. I guess, I'm just trying to balance out what's going on with contract pricing in the middle of bid season here. I was trying to ask, like, how do you balance that, I guess, with the spot? We've seen spot really come in given the weakness in the market. Are you seeing that weakness? Are you able to take advantage? Are we seeing AGP that should reaccelerate given that? I'm trying to understand the backdrop --
Dave Bozeman : I'll turn it over to Michael to give you some color there.
Michael Castagnetto: Yeah. So I think you're right. We're seeing contractual rates improve, I'd call it minimally year over year when we look at it. We're continuing to be in a highly competitive environment. Pricing is very aggressive in the marketplace, but we are seeing the ability to get some small increases on contractual. You're right, the transactional market continues to be very, very competitive. And depending on the time of the month or depending on the week, there is some weeks less freight than before and we're battling for that freight. We feel good though. If you look at NAST top line margins, we were able to maintain and grow that throughout the quarter and really, I think, deliver what is what we've talked about, that optionality of the best combination of volume and margin for our business. But we're going to continue to keep testing that. And we test it every month, week, day and a couple of times a day. And I think we found the right combination for what Q1 marketplace gave us and we'll adapt depending on what Q2 brings us. But generally, I think you described it right. Contractual market, very small improvements. Transactional market, really competitive environment and we're being very selective. But like I said before, I think customers are recognizing the value we're bringing to the marketplace. And so ideally, we're moving more transactions to not just a price transaction, right? We're moving up the value stack and bringing more and more capabilities and services to that customer, and I think we're seeing that in our results.
Dave Bozeman : Yeah. And Ken, I'll just add to that to just kind of put a bow on it. Look, we don't view the outgrowth in Q1 as unique. We view that as our target condition, and we expect that outgrowth every quarter. Now as Michael mentioned, every quarter has different characteristics, every quarter has different dynamics and we have to react to those different dynamics to deliver that outgrowth. But we don't view Q1 as unique. We expect that that's the baseline expectation going forward.
Operator: Next question, Tom Wadewitz with UBS.
Tom Wadewitz: Yeah, good afternoon. So I'll give you the two upfront. So just on headcount, I think the sequential decline was a bit greater than we were anticipating. So just want to see if you could give a sense of does that keep moving down or do you think stable going forward? And then I guess to the comments you had about volume and approach to the market, I mean, we heard some things that maybe CH is getting more aggressive in the market and just going after volume a bit harder and you saw a pretty impressive amount of improvement in gross margin and profitability over the past 1.5 years. So what kind of makes sense you could shift, but I wonder if that is the case. And if so, is there also a move to maybe leverage the transportation management capability, the TMC and say, “Hey, we can bundle a bit.” And win some brokerage business leveraging the transportation management as well? So I guess kind of two different questions there.
Dave Bozeman : Yeah, Tom, I'll start. I'd say part of that headcount being further down than you were expecting is related to EST, right? So the divestiture of that business certainly came with the headcount exiting that business as well, right? So part of that comp comparison on headcount that looks a little unique is related to EST. What I would say broader on headcount is, look, we're dynamically managing our personnel expense and our headcount frequently. No different than, as Michael mentioned, on price and cost of hire. We have a dynamic model that we do workforce planning consistently on, and productivity is a key KPI of ours as we've demonstrated the 30% over the last two years of productivity. We expect evergreen productivity going forward. So just to kind of bring that to a conclusion, I think the trend difference you see on headcount there is heavily influenced by the exit of EST, but we are actively managing headcount based on the market environment that we're in with the Air 2 driving evergreen productivity going forward.
Michael Castagnetto: Yeah. This is Michael. The second half of that question regarding aggressive in the marketplace, I think we're being smarter in the marketplace. I think we're putting the tools into our people's hands more often, better information. I think our people making the right decisions more often. And you see that in the fact that we’re outpacing the market, but we’re also managing our top line margins and bottom line margins. Your last question or comment around RMS and the role of how that fits our Robinson Managed Solutions, I'm probably more excited about that business and the combination of value propositions we bring from the former TMC team and the RMS team now in whole combined with NAST. And what we're bringing to the marketplace, I can tell you, we're seeing really strong response from customers about that value proposition. And I'm probably, like I said, as excited as I've been around the growth opportunities that that value proposition and service we bring that is very unique to Robinson to the marketplace.
Dave Bozeman : Yeah. Hey, Tom, this is Dave. Yeah. I was going to say just to accentuate that too. Again, I can't stress enough like what you are seeing is a manifestation of our strategy. Coming off of our Investor Day, I think we are pretty clear that our goal was to really take market share and expand our margins. And I am proud of what the team is doing by doing that. So it's a balance for us at Robinson and every day we look at that on everything we're doing to really take that market share up and drive those margins. So what these guys are doing is kind of doing that balance and I think leveraging what our technology is part of what you're seeing in the marketplace. And Arun, I don't you want to add to that?
Arun Rajan: Yeah, Tom. I think it's worth saying that kind of reiterating what Michael and Dave just said. Our algorithmic real time algorithmic pricing and costing capabilities enable us to make adjustments constantly, continuously. So this point that this notion that we don't go after volume from volume's sake, but we have objectives around market outgrowth and our algorithms are continuously discovering the right sweet spot to deliver on that. So that's one piece of it. And again, on managed services, I think we all I would just echo that it is directly in line with what Dave discussed around moving up the value stack and Michael discussed about moving up the value stack. It's core to our strategy on how we leverage managed services to feed other businesses.
Michael Castagnetto : Yeah. And Tom, just to summarize it and then we'll let you ask your follow-up there is we just like to always remind everyone, right, our strategy is about outgrowing the market, expanding gross margins and expanding operating margins, right. Q1 was a great demonstration of that on all fronts. And so to your question about getting more aggressive in the market, I think we're always aggressive in the market. I think we just make sure we make high quality decisions on what freight we take, and we have tremendous optionality in that decision making process. As Michael said, we're getting smarter every quarter. We're still in the early innings of many of our evolutions in tech development. So I think we're going to continue to get smarter and I think we'll continue to see the results reflect that.
Tom Wadewitz: Yeah. I guess just a short follow-up. To make sure I understand it, I mean, it seems pretty interesting to leverage the RMS capability and it used to be the TMC and combine that in brokerage in maybe a way that you didn't do in the past. So I think that's my understanding is this is new and this is it seems like a pretty interesting lever to drive growth. Is that right to think of it as a new approach putting those two together or am I not or is that something you did in the past?
Michael Castagnetto: No, I think you're correct, right? With our strategy, as Dave mentioned, One Robinson at our Investor Day, we had historically operated them as separate entities and there was crossover where I would say it happened circumstance and we're being much more deliberate about bringing that combined value to the marketplace. And we're listening to customers. Certainly, we're meeting customers where they want to be met. If they want to be met under certain terms, we will meet them there. But I can tell you, bringing the full value and capabilities of Robinson has been really positively received.
Dave Bozeman : Yeah. And Tom, you've been here since we started this transformation a couple of years ago in which that diagnosis was really around people, product, process and portfolio. And as we went deeper in that, one of them was really looking at what we were going to do with TMC and driving this kind of One Robinson approach and ultimately through some really thoughtful work driving into a comprehensive strategy. This is what you're seeing, which is the One Robinson approach around RMS. So very deliberate, very purposeful about how we're going to market with that and that certainly is early innings, but I like the momentum that I'm seeing so far in driving that.
Operator: Bascome Majors with Susquehanna.
Bascome Majors: Arun, you're still obviously generating quite a bit of progress with some of the tech projects on both the net revenue line and the operating expense line or operating efficiency within NAST. Can you talk about on both the pricing driven items that are helping you on the net margin and some of the efficiency driven items that are helping you on your operating efficiency? What inning or other analogy are you are on some of those projects? And maybe Dave, if you could cap off that discussion? I know continuous improvement never ends in lean, but how deep into this do you need to be before we're more in the continuous improvement stage versus the stair step improvement it looks like you're continuing to see here? Thank you.
Dave Bozeman : Yes. Bascome, thanks for the question. Let's start with -- let's break that down and start with Arun, and then I'll come back and answer the second part of the question here.
Arun Rajan: Yeah, Bascome, the way I would describe it is, we published these productivity targets the last couple of years and we've delivered them. We delivered over 30% productivity in both NAST and Global Forwarding. And if you go back one year on NAST, it's actually over 40% productivity. I don't think we can sustain that level of productivity improvement. However, the tools and technologies keep improving. We've got agentic AI capabilities and GenAI capabilities. There's this evergreen component. I'd say like it's it won't stop. We will continue to deliver productivity improvements every year. I think you should just think of it as evergreen. In terms of gross margin, I'd say it's the same way. And then frankly, I would connect it all back to the waterfall, that Damon presented at Investor Day, right? So if you're thinking about how much more runway we have, well, we have enough runway to deliver on the 2026 targets we talk about at Investor Day, and it won't stop there.
Dave Bozeman : Yeah. I think, Bascome, this when it comes to these transformations and lean transformations, I can't tell you how proud I am of the team. This is you get hit with a lot on these transformations, particularly the lean transformations, and they are doing a really nice job at learning and driving this. And so it's really about this discovery. It's about innovation. You hit on it, it is about continuous improvement. But the key being Damon said this, I said this, we continue to say it, we're going to have continuous improvement throughout the market cycle. So be it at the low part of the cycle or be it at the midcycle or high, the expectation at Robinson is that we continue to have continuous improvement, no matter what because it's a improve every day type of mentality that we have. And so the 30% compound in two years, that's great. Now we said, obviously, you won't have that double digit type of improvement, but there will be continuous improvement. Every day, even as the cycle comes up, that's part of lean operating systems and that's what we're building here at Robinson.
Michael Castagnetto : Yes, Bascome, I would just add that part of our operating rhythm, part of our policy deployment, one of our key measures we manage is the health of our funnel. That funnel being all the ideas we have around productivity, around pricing, around cost of hire, all of our initiatives. And so certainly, one of those KPIs is keeping the funnel full, right? So we don't just fill the funnel and then let it run out, right? One of those KPIs is ensuring that we're adding projects, ideas, interrogations into our process every single week, every single month, right? So the health of that funnel of ideas is really at the DNA of how we keep the continuous improvement flowing really forever within the company.
Operator: Next question, Chris Wetherbee with Wells Fargo.
Chris Wetherbee: Yeah. Hey, thanks guys. Good afternoon. Maybe a little bit of a bigger picture question. As we look out over the course of the next couple of months, we could be seeing some softness certainly from an import perspective and that might be coming through in both your Global Forwarding, but also maybe your NAST businesses as well. I guess as you think about what we're just talking about with productivity optionality, I guess how do you think maybe about positioning the business for the next couple of quarters? I wouldn't expect you to do something overly dramatic, but I guess as you see that opportunity where maybe volume is a little bit softer, are there some other levers you can pull on the productivity side a little shorter term that could generate potential savings down the road here?
Dave Bozeman : Yeah, Chris, thank you for the question. Look, I would say, look, the most important levers that we have are the ones that we're executing every day, every week, every month, right? What I think is really the backbone of our strategy is it works in all cycles of the market, right? It works when there's disturbances, it works when there's inflections, it just works, right? And we've demonstrated that over the last five quarters. So I'd say, first of all, the most important levers we have are to continue to do what we're doing on making wise decisions on the volume we take, which has enabled us to outgrow the market. The optionality and speed of decision making that we have on optimizing our pricing and our cost of hire decisions. And then we just -- we never stop looking at ways to improve our efficiency from an operating margin expansion perspective, right? I mean, every day we come up with a different idea on how to drive efficiency through automation, eliminating processes that don't add value, simplifying processes that are too complex. So what I'd say is that the biggest levers we have are the ones we're already executing, right? So we'll just continue to execute those levers in the face of whatever the market conditions do give us. Just a reminder, certainly two thirds of our operating expenses are personnel expenses. And as I mentioned earlier, we do have a dynamic workforce planning process, right? We have KPIs as part of our operating review that don't allow us to go red and stay red from a productivity perspective. So we'll be actively managing our personnel expenses, both headcount related and headcount adjacent, regardless of what the market unfolds and gives us.
Operator: Thank you. I would like to turn the floor over to Chuck for closing remarks.
Chuck Ives : Thank you all for joining us today. We look forward to talking to you again, and have a great evening.
Operator: This concludes today's teleconference. You may disconnect your lines at this time, and thank you for your participation.